Operator: Good afternoon, and welcome to indie Semiconductor's Fourth Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I will now turn the call over to Ashish Gupta, Investor Relations. Mr. Gupta, please go ahead.
Ashish Gupta: Thank you, operator. Good afternoon, and welcome to indie Semiconductor's Fourth Quarter 2025 Earnings Call. Joining me today are Don McClymont, indie's CEO and Co-Founder; Naixi Wu, indie's CFO; and Mark Tyndall, EVP of Corporate Development and Investor Relations. Don will provide opening remarks and discuss business highlights. Naixi will then provide a review of indie's Q4 results and business outlook. Please note that we'll be making forward-looking statements based on our current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For material risks and other important factors that could affect our financial results, please review our risk factors and annual report on Form 10-K for the fiscal year ended December 31, 2024, as supplemented by our quarterly reports on Form 10-Q as well as other public reports filed with the SEC. Finally, the results and guidance discussed today are based on consolidated non-GAAP financial measures such as non-GAAP operating loss, non-GAAP net loss and non-GAAP net loss per share. For a complete reconciliation to GAAP and the definition of the non-GAAP reconciling items, please see our Q4 earnings press release in addition to a presentation summarizing our quarterly results and more details on our non-GAAP measures as posted on our website in advance of this call at www.indie.inc. I'll now turn the call over to Donald.
Donald McClymont: Thanks, Ashish, and welcome, everybody. indie delivered a solid fourth quarter with revenue of $58 million, exceeding the midpoint of our outlook by $1 million and up 8% sequentially. Let me provide some context on the market environment before turning to our business achievements. First, on our markets, the automotive industry is entering a pivotal new phase as ADAS, or advanced driver assistance systems, and automated driving and safety functionality are rapidly maturing beyond optional or premium features and into standardization at L2 and above. OEMs across all vehicle classes are recognizing that consumers expect a baseline of active safety features, including lane assist, automatic emergency braking, blind spot detection and collision warnings. These trends reveal a market undergoing structural transformation where software-defined intelligence, regulatory readiness and scalable sensor technology are reshaping the competitive landscape. This continues to present a significant opportunity for indie to capitalize on by leveraging its technology investments for the readiness of these mass market ADAS segments. Additionally, the humanoid robotics market is rapidly transitioning from research labs to industrial and real-life applications. This creates exciting opportunities that we're actively pursuing today, and we plan to expand our activities here going forward. Our ADAS and automotive technologies align perfectly with humanoid sensing requirements by providing the robot eyes and ears. To that end, we are already seeing strong adoption of our radar, vision and even interface solutions by industry leaders, both in the U.S. and China. For example, our vision products have been deployed by companies, including Figure AI and Unitree amongst others. Powered by breakthrough advances in embodied AI, evolving workforce needs and decreasing manufacturing costs through shared automotive components, this dynamic industry is accelerating towards becoming a major global economic driver by the 2030s. Let me now turn to our recent business progress and key achievements during the past quarter. Beginning with radar, our Tier 1 partner, who launched their Gen 8 77-gigahertz radar solution in Q4, is rapidly gaining strong commercial traction with even more global OEMs, including car manufacturers from Northern and Central Europe, North America, Japan, China and India with models ranging from entry-level through mid-tier high-end passenger cars and all the way to high-value commercial vehicles. The indie-based solution delivers far superior performance and cost basis compared to competing and previous generation products, additionally earning a claim at CES this January. We began initial shipments to our Tier 1 partner in December as planned and are scaling production to fulfill the massive opportunity estimated at well above 50 million units annual demand once we are beyond the ramp-up phase. To support this ramp and mitigate allocation issues, we're expanding our production capabilities, including porting designs to second source foundries here in the U.S., satisfying local supply sourcing demands. We are also securing additional back end and test capacity at multiple suppliers to be prepared for the ramp. With these measures in place, indie will be well positioned to fulfill the growing demand. Looking ahead, we are now in the midst of the definition of our next-generation radar platforms, which will deliver further competitive advantage in performance, cost and functionality significantly beyond current levels. Overall, I'm extremely pleased with the progress of the current generation radar rollout and expect momentum to build through '26 and beyond. Within our vision portfolio, we see continued momentum with design wins for our industry-leading image signal processor SoCs, including our iND880 and our AI-based edge processor. Our DRAM-less architecture is creating new opportunities for us, as it allows our customers to overcome the current memory supply issues while reducing the bill of materials and lowering system resource demands on AI processors. With this technology, we have secured new design wins in e-mirror and camera mirror systems at leading Tier 1s across passenger vehicles and trucks with production beginning in late '26 and continuing for several years. Within the China market, we have recently secured a design win with the leading electric vehicle manufacturer with our iND880 for our camera mirror system, which is expected to start ramping towards the middle of 2026. This is a very critical design win for indie as we believe it will open more strategic opportunities going forward for our ADAS portfolio at this key customer. In Q4, indie completed the integration of emotion3D, creating a powerful ecosystem that unites AI-based perception algorithms with our hardware SoC capabilities, offering flexible stand-alone or integrated solutions within the cabin for driver and occupancy monitoring. Additionally, we have recently announced a strategic partnership with Mahindra, a leading Indian passenger and commercial vehicle manufacturer for the supply of our perception software for their Electric Origin SUV series, including XEV 93 and BE 6. From our photonics business unit, we were awarded a design win, including NRE for a distributed feedback laser for a LiDAR application outside of the automotive market, potentially opening new opportunities in diverse market applications where high-precision, high-speed 3D spatial information for real-time detection is critical. In addition, we have secured our largest booking of LXM lasers to date, supporting key customers in quantum communications and sensing as our success continues in this adjacent quantum market. Within our power group, the Qi 2.0 wireless charging platform production with Ford remains on track for the first half of 2026 with adoption from multiple subsequent OEMs expected to follow. indie is already gaining significant traction for our Qi 2.2 25-watt wireless charging solution, which offers seamless scalability via firmware upgrade. Moving to the Qi 2.2 solution enables faster power delivery, stronger magnetic alignment and broader device interoperability without replacing hardware, making this a highly attractive solution for customers and partners. This product is already demonstrating strength as evidenced by a leading Tier 1 wireless charging partner upscaling to our Qi 2.2 platform with another North American OEM. Recall on our previous call, we highlighted the shortage of package substrates prevalent in the industry caused by ever-increasing demand for AI chips. We are pleased to report we have made meaningful progress by qualifying second source package and substrate vendors. However, we expect the broader supply environment to remain constrained, and we will need to remain laser focused to manage the situation through 2026. I will now turn the call over to Naixi for a review of our Q4 results and business outlook.
Naixi Wu: Thank you, Donald, and good afternoon, everyone. indie's fourth quarter revenue was $58 million, exceeding the midpoint of our outlook by $1 million, representing sequential growth of approximately 8% and flat compared to the prior year period, bringing our full year revenue to $217.4 million. The non-GAAP operating expenses during the quarter totaled $36.8 million, consistent with our outlook, thereby achieving our goal of $8 million to $10 million savings. As a result, our fourth quarter non-GAAP operating loss was $10.1 million compared to $11.3 million last quarter and $14.2 million a year ago, demonstrating our continued progress towards achieving profitability. With net interest expense of $2.3 million, our net loss was $12.4 million and loss per share was $0.07 on a base of 220.4 million shares. Please refer to the presentation located on our website for a more detailed breakdown of non-GAAP measures. Turning to the balance sheet. We exited the quarter with total cash and cash equivalents, including restricted cash of $155.7 million, a $15.5 million decrease versus the third quarter, of which $6.8 million was used for our semi-annual interest payment on the outstanding convertible notes. As you may recall, in the fourth quarter, we announced that indie had entered into a definitive agreement with United Faith Auto-Engineering Co., Ltd., UFA, a publicly listed company in China, to sell our entire outstanding equity interest in Wuxi indie Micro for gross proceeds of approximately $135 million, payable in cash upon closing, net of applicable taxes and fees. The transaction continues to progress towards closing. As part of the customary closing conditions, UFA obtained its requisite shareholder approval in late 2025. The transaction remains subject to regulatory approval in China, including both Shenzhen Stock Exchange and CSRC. While the timing of the closing remains uncertain, we continue to be optimistic that it will occur by the late 2026 time line we previously communicated. Moving to our outlook for the first quarter of 2026. We expect to deliver total revenues between $52 million to $58 million with $55 million at the midpoint. We anticipate a decline in first quarter revenue from Wuxi to $21 million due to a lower demand from reduced EV subsidies and the Chinese New Year shutdown. However, we expect our revenue from our core business to grow by an impressive 20% sequentially to $34 million at the midpoint. We expect our non-GAAP operating expenses to be $37 million for Q1, relatively flat to Q4 2025. Assuming a net interest expense of approximately $2.6 million with no tax expenses, we expect a $0.07 net loss per share based on 223 million shares at the midpoint of the revenue range. From a financial perspective, with our strong focus on managing operating expenses and our solid balance sheet, including anticipated proceeds from the sale of Wuxi, indie is financially well positioned to support our path to strong and profitable growth as design wins ramp through 2026. With that, I will turn the call back to Donald for closing remarks.
Donald McClymont: Thank you, Naixi. Our core business remains solid as evidenced by strong fourth quarter results. Radar and vision programs remain firmly on track, highlighted by our Tier 1 partners' recent release of their advanced Gen 8 radar product, growing commercial adoption and our first radar chipset shipments late in the quarter. With the addition of high-growth adjacent markets such as quantum sensing and humanoid robotics, indie's technology leadership and expanding product portfolio positions us well to drive growth. We believe no other semiconductor company offers a product portfolio as well suited as indie's to meet the diverse sensing needs of these emerging markets. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is from Cody Acree with The Benchmark Company.
Cody Grant Acree: Congrats on the progress. Naixi, just one point of clarification. Can you give me the Wuxi revenue for Q4?
Naixi Wu: Yes, it was around $29.7 million.
Cody Grant Acree: And could you just maybe go through the reasons again for the sequential decline? And then what do you expect that to do looking into Q2?
Naixi Wu: The decline mostly has to do with the upcoming Chinese New Year shutdown and the reduced EV subsidies that the local people are getting.
Cody Grant Acree: And any color on expected ramp into Q2?
Donald McClymont: I mean we do expect it to recover in Q2. As of course, you know, we're in the process of selling that business, but yes, we do expect it to bounce a little bit in Q2.
Cody Grant Acree: Okay. Great. And Donald, maybe can you just provide any further color on the slope of the ramp of your radar programs that you're expecting for the balance of '26?
Donald McClymont: Well, I mean, since last we talked, we've made phenomenal progress together with the customer. We see the traction through the OEMs just getting ever stronger, so we feel absolutely phenomenal about where we are with the program. In fact, we're also really beginning now the discussions on what comes next for the next generation. But I mean, the OEM traction has just been off the charts, and it gives us a good problem to solve. We need to focus now on making sure that our supply chain is robust enough to support the ramp that we expect. But we feel we're in a really good spot right now.
Cody Grant Acree: And just a follow-up there. The constraints that you're feeling still on substrates and packaging, what impact do you expect that to have in the first quarter?
Donald McClymont: I mean it had a little bit of a trailing impact into the first quarter. I mean we -- the product portfolio basically, in the type of products that had substrate exposure, did have some risk mitigation, so some products that we had inventory of shipped. Probably there was maybe a little bit less than $1 million of demand that is still questionable that we might get or not based on supply, but we've made some significant progress versus Q4 where it affected around $5 million in that quarter.
Operator: Our next question is from Suji Desilva with ROTH Capital Partners.
Sujeeva De Silva: Congratulations on the progress here on the Tier 1. Donald, you've given us backlog numbers in the past. Any update there? Any new design wins to talk about? I know you have at least 2 big programs coming, but any color there would be helpful.
Donald McClymont: Yes. I mean, as you know, we only really update our strategic backlog once a year. You can see from the script that we did make some progress on the sales side and add some new discrete designs out with the larger programs. We do expect that the sell-through into the OEMs from the large radar program also will increase over time, and we've seen a lot of momentum in that during the last quarter. But no quantifiable update right now.
Sujeeva De Silva: Okay. All right. And then aside from Wuxi in China, can you talk about the progress there in terms of design wins and traction for your products for the core part of the business?
Donald McClymont: Yes. I mean we're doing well in all regions. I mean, again, I mentioned in the script that we have exposure to OEMs based over all parts of Europe, also in Asia, China, even India actually as part of that. So I mean, we're feeling very good about where we are generally worldwide.
Operator: Our next question is from Jon Tanwanteng with CJS Securities.
Unknown Analyst: This is [ Will ] on for Jon. Is there any update on the size of the opportunity within robotics and drones or in the quantum space and if or when those can become significant contributors?
Donald McClymont: Well, the robotics space is hard to call, but I mean, we are just seeing a phenomenal amount of activity in that space. And the products that we make for automotive are basically 100% compatible with the needs that these guys have for these applications. So we are very optimistic about it. We do feel that it can be a very material market as we progress through the rest of this decade. In terms of quantum, that's a little bit easier for us to quantify. We are beginning to make some significant traction in that space. We shipped about $1 million worth of optical products in that application in 2025, and we expect maybe around a trebling of that through 2026. So we are seeing increased momentum in that space also.
Unknown Analyst: And in regards to the supply chain constraints, can you add some more color on how you're thinking about the time line to a full resolution?
Donald McClymont: I mean it's -- the tightness is really driven by the uptick in AI demand, and so we don't see that really going away anytime soon. From our perspective, just operationally, we're expanding our supply base to make sure that we have significant mitigation for all of the programs that are key to us, and we made some pretty good progress in the last 90 days to address that. We are seeing signs that several suppliers are making investments to improve capacity, likely something that would begin to take effect in 2027. But I mean, at this point, we feel decent about where we are. We've -- as I said, we've made some good progress in bringing on new suppliers. And we hope that we can manage through this '26 year without really taking any bumps on our side while we get through to '27. But that's basically the best visibility we have right now.
Operator: Our next question is from Anthony Stoss with Craig-Hallum.
Anthony Stoss: Donald, in the past, I think you talked about the total range of expected radar revenue for you guys for 2026 to be somewhere between, I think it was $30 million to $50 million. Perhaps you can give us an update on that. And then also love to hear kind of thoughts on just OpEx for the rest of this year on a quarterly basis.
Donald McClymont: Well, I mean, in terms of the radar volume, it's still in that same ZIP code. Nothing really has changed in the short term. What we are seeing is just gathering momentum with newer OEMs, which we hadn't really anticipated would be early adopters, and it turns out that they are going in that direction. That means that we will have like a steady and steep ramp over the course of '26, '27, '28 and '29 even as some of these design wins, of course, are for longer-term models, which are out in time. But I mean, generally speaking, the momentum has been strong behind the program. And I think you can assume on OpEx side that it's basically going to be about flat. Maybe a couple of lumps here and there as we invest in tooling, but no more than $1 million plus/minus.
Anthony Stoss: Got you. And then if I could sneak in one more outside of the Wuxi Group just within your core business, what percentage of that core still remains in China?
Donald McClymont: Probably in the 25% to 30% range, perhaps. Maybe not quite as high as that anymore, actually. I'm not sure. I -- yes, it's a little bit less than that now probably.
Operator: Our next question is from Craig Ellis with B. Riley Securities.
Craig Ellis: Donald, congratulations on the 20% core business growth in the first quarter. Can you just help us understand what the top 2 or 3 drivers are to that growth? And is radar on that list? Or are we in just smaller volumes in 1Q?
Donald McClymont: I mean radar is still relatively small volume in the last quarter and this quarter. But in any design and any -- and especially in a program of this magnitude, the first products that you ship are very much the most important. It cleans the pipe and improves the existence that the designs are real and the products are working. We have seen continued progress also in our vision chips. Basically, the drivers are coming from the ADAS side. Our iND880 processor has been super successful. And now that we're beginning to bring to market a version of that chip, which also has an AI edge processor integrated in it, we're seeing continued momentum in that space also.
Craig Ellis: And then a follow-up to the prior question just on the arc of radar through time, and it sounds like it just continues to scale from what could be $30 million to $50 million through 2029. But I think we've talked about this business being a $100 million business in the past on an annualized basis. Are you starting to get visibility on when we could get that? And would that be 2028? Or would it be potentially sooner or really when you get out to 2029?
Donald McClymont: I mean, I think, the answer to your question is, yes, we are getting continued visibility improvement in this as we progress through the whole process of deployment. I mean we're -- it's probably a little early to call exactly when -- what date that we cross $100 million. But I mean, we are feeling increasingly confident and positive about where we're going with this right now. And I mean, it's kind of driving us crazy, the amount of support work that we're having to do and the amount of supply chain expansion that we're having to do in order to prepare for it. So I mean, if that gives you an indication of where we think we are, then I hope that's sufficient.
Operator: Our next question is from Cody Acree with The Benchmark Company.
Donald McClymont: I think Cody actually already asked his question.
Cody Grant Acree: Yes. Yes. Actually, I just had a quick follow-up, Donald. Sorry, I was on mute. Just your comment lastly about increasing your supply side. Last quarter, you mentioned your efforts to double source for some of your customer requests. Can you just update us on the progress there? And just what are you looking forward to on spending for that?
Donald McClymont: I mean from packaging side, we enabled a new substrate supplier and also a new packaging house. So basically, now we have 4 combinations of substrate and packaging house that we can use. We do expect that we will also, for some of the very large volume programs such as the radar program, bring on second source foundries, particularly as we need to have China for China, non-China for non-China supply base in that space. And I think -- and I mean, in answer to your question, the short term, we have had a little bit of increased OpEx, which we signaled in the last quarter in order to cover some of that, which has now run through the books. And at this point, we're basically seeing our OpEx remaining reasonably flat through '26. There may be a couple of bumps in the road as we spend on tooling, but it's -- each bump is probably, I mean, less than $1 million.
Operator: There are no further questions at this time. I would like to hand the floor back over to Donald McClymont for any closing comments.
Donald McClymont: Well, thanks, everybody, for attending, and I hope to see you at the conferences in the next few weeks.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.